Operator: Hello and welcome to the SkyWest Inc. first quarter 2009 earnings results. All participants will be in listen-only mode. There will be an opportunity for you to ask questions at the end of today’s presentation. (Operator Instructions) Now, I would like to turn the conference over to Bradford Rich, Executive Vice President and CFO. Mr. Rich
Bradford Rich: Thank you, Amy. Thanks to all of you for joining us this morning for a discussion of our first quarter 2009 results. Before we being, I just like to make some introductions of those who will be participating on the call this morning. We have Chip Childs, the President and Chief Operating Officer of SkyWest Airlines. Unfortunately, Brad Holt, President of Atlantic Southeast Airlines who normally participates with us is traveling this morning and not able to join the call. I also have Mike Kraupp, Vice President of Finance and Treasurer, as well as other members of our staff here at SkyWest headquarters this morning. Before we get into a discussion of the results, I’ve asked Mike Kraupp to read our forward-looking statement.
Mike Kraupp: In addition to historical information, this release and conference call may contain forward-looking statements. SkyWest may from time-to-time make written or oral forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such statements encompass SkyWest’s beliefs, expectations, hopes or intentions regarding future events. Words such as expects, intends, believes, anticipates, should, likely and similar expressions identify forward-looking statements. All forward-looking statements included in this release and conference call are made as of the date hereof and are based on the information available to SkyWest as of such date. SkyWest assumes no obligation to update any forward-looking statement. Actual results will vary and may vary materially from those anticipated, estimated, projected or expected for a number of reasons.
Bradford Rich: Okay. Thank you, Mike. Okay, this morning we will use the release as an outline and kind of a text for our discussion, the press release that went out this morning as well as the press release that went out April 15, 2009 where we kind of pre-released the results for the quarter. Now, for two different reasons; one, because we had put the April 15 release out, as well as the fact that we are trying to be sensitive to people’s time, we are going to change really the format of our discussion a little bit this morning from what we have historically done, rather than just taking the press releases and kind of reading through them and discussing them that way. I’d really like to turn our attention really to the issues themselves and just discuss the issues. Again, speaking pretty closely to the context and the text that’s in the releases, but doing it just by the way of more of a discussion and then leaving more time for question-and-answer, so that we make sure that we are discussing the topics and the issues that you would like to discuss. First of all, in referring to or referencing the release this morning, we reported operating revenues of $672.6 million, which is obviously down significantly from the $868 million that we released in the first quarter of last year and I’ll discuss that specifically in just a moment. We also released net income of $9.4 million which is $0.16 and fully diluted earnings per share, relative to $29.1 million of net income, the $0.47 and diluted earnings per share for the same period last year. So, first of all let me just discuss and I’ll do this fairly generally and then if you want to drill into more detail, we are certainly happy to do that within some parameters, but obviously the change in revenue is more driven by reductions in pass-through costs than any other single item. Of the decrease in revenue, $147 million of it is simply due to the reduction in fuel prices, which most of you know in our models is a pass-through cost. The other primary driver of the reduction revenue is simply production related and you can see from the release and the statistics that we put out this morning that our block hour production year-over-year is off 8.2%. So, when you take the reduction and the pass-through costs, which is the primary driver of the revenue reduction; combine that with just year-over-year block hour decrease of 8.2%, that’s really the primary reason that our operating revenues are down. In focusing on the primary issues that affected our net income during the quarter, it really is as we have discussed. The significant drivers, there are four or five issues that are really primarily driving the change. First of all, the weather and maintenance related issues that we had at ASA, at Atlantic Southeast during the quarter, as we released, that has driven about a $7.6 million decrease to our pretax income during the quarter and the weather related portion of the issue at ASA has really been a very significant driver. We have had a weather system and weather related difficulties in Atlanta, that are really much more severe than we’ve had; certainly since we have owned ASA since September of 2005 and as we look back through the history of even the years prior to us owning them. We just had some very unusual and difficult weather activity in Atlanta. Those of you that have been that follow the company; that follow transportation and aviation, I think are probably well aware of those kinds of difficulties. When you take the weather-related difficulties, add to that the maintenance issue that surfaced on the last day of March, those things combined to create, a material impact on our earnings and that’s the $7.6 million that we have identified. In addition to that, we have, as I referenced already, we had an 8.2% decrease in our year-over-year block hour production. When you take all of the issues related to the year-over-year decrease in production and look at the impact of that, and we discussed this a little bit in our prior quarters call and got into some of the specifics about what happens when production comes down and the schedules not only come down, but are coming down somewhat inconsistently, it makes it very difficult for us to adjust crew costs, as well as our infrastructure costs and overhead to kind of a consistent level of production. When you take the kind of production related issues everywhere from just lost revenue to inefficiencies and infrastructure and overhead related to the decrease in production and put all of those things together in a bucket, those items are about $11.5 million of pretax impact in the quarter; I mean a very significant driver of the year-over-year decrease in earnings. Most of you obviously are probably aware of some of the difficulties surrounding some of the current economy, driven all of the attention to what’s happening in the investment community. We certainly have had our share of difficulty relative to some of our investments. I think on one hand, when you look at where we were positioned even a year ago in some of our marketable securities, we really have done a very effective job at managing ourselves through the majority of these difficulties. This particular quarter, we do have some, what have been classified now as other than temporary impairments. It’s isolated to two specific investments and as a result of that, we did take a $7.1 million impairment charge during the quarter. Kind of related, if you just look at kind of the related issue and that is just the kind of overall decrease in interest rates and yields generally in the market, we certainly have not been exempt from that and with the large amount of cash that we still have and are managing. Those rates and yields have comedown, our year-over-year interest income generated is $4 million less this year in the first quarter than it was last year in the first quarter. We also have kind of an open issue that we’re still negotiating and working our way through with Delta Air Lines relative to our Delta rates. I think most of you know that we have a contractual provision in both our SkyWest Airlines and our ASA contracts; our Delta connection agreements that require our cost to be average off the Delta connection portfolio. We have been monitoring and trying to evaluate where we have been relative to that provision for quite some time, in anticipation of the rate reset and I’ll just make a general statement here. This is an item, given that we’re still negotiating through it with Delta. The long and short of it is that we reduced our rates for the first quarter of $5 million. We’re still negotiating through this. Prior to the acquisition by Delta of Northwest and the bringing in of the Northwest owned carriers, we felt we’re in good shape and then that issue changed things a little bit and we ended up with a more significant adjustment than we thought we would have; I guess I’ll just leave it at that. The issue is still completely unresolved at this moment. We’re still working through the issue with Delta. What we have booked, I think is a conservative, but yet a fair representation of where we would expect this to settle out when it’s all said and done. So with that, let me just make a few comments relative to the balance sheet. Although, our net income was not what we would have expected, the balance sheet is still in very good shape. Our cash and securities at the end of the quarter is $697 million, down just slightly from where we ended last quarter, just over $700 million. That $697 million of cash and securities is net of $12.6 million and treasury shares we repurchased during the quarter and I guess I’d just remind people too that our aircraft ownership payments, whether they’re debt or rents. The first quarter is a very heavy period for us in aircraft rents and payments. Just some of the other kind of basic look to the balance sheets; current ratio is three times; debt and equity ratios 56.5% debt to 43.5% equity. Kind of interesting statistics, at least from my perspective, when you look at where we’re trading today in share price, I mean our cash and securities per share are at $12.52 per share. Book value of the company is $23.05 per share and of course I say that’s somewhat, I think I used the term interesting, but also somewhat frustrating to us given where we’re currently trading. I always tend to reference our receivables specifically, just as a ordinary course of I guess letting you know that we’re paying and do pay very close attention to liquidity and cash and things like our receivables from our major carriers, particularly still no particular concerns at all in our Delta or United receivables. As I mentioned in last quarter’s call, we are still watching the situation at Midwest very closely and if there is any areas of concern that would probably be it relative to receivables. I’ll mention very quickly CapEx. We’ve also have been following this one very closely. It seems like this is one that a lot of you are particularly interested in. Our non-aircraft CapEx for the first quarter was $19 million; just slightly above our projected run rate of about $17 million for the quarter. This is a combined SkyWest Inc. number, but it is significantly down from prior run rates, which were kind of more in the $40 million to $45 million per quarter run rate and I think we had indicated this is one area that we’re paying very close attention to. So $19 million is a number that we’re fairly comfortable with. Let me reference a little bit back to our capacity. I mentioned earlier that our year-over-year block hour production is down 8.2%; it is. We do have some upcoming deliveries. We’ve referenced in the prior call as well as in the release, the transaction with Delta where we’re taking 10 additional 900s at ASA. We have taken already nine of those deliveries and will take the last one this month, so we’ll have all 10 of those aircrafts operating and then we’ll just continue to execute on a previously announced fleet acquisition issue where we’re taking the 18 additional 700s at SkyWest Airlines into the united system. The delivery schedule of those is the same as we had previously announced and talked about. We’ll take three additional aircraft in the second quarter, five additional in the third quarter, five additional in the fourth quarter and then five that will come early in 2010. We have also made a decision and have worked closely with United Airlines to place some additional 200s into service. These are aero planes that had come out of the Midwest system and we have worked with United and are placing several of those aircrafts into pro-rate systems using the United code. This is kind of a unique opportunity that we have and again as I said, we worked cooperatively and closely with United to identify, again what we think is kind of some unique opportunities here with some 200 flying, that we are very optimistic will be productive flying. When you put all of that together and look at what that means to our ASM production, some slight improvements from what we had talked about in the prior earnings calls. Our ASM estimates for the upcoming quarters are as follows; for the second quarter $5.7 billion, third quarter $5.9 billion, fourth quarter $5.8 billion. Okay and with that, I think I will go ahead and conclude the prepared remarks and open it up for some questions.
Operator: (Operator Instructions) Our first question comes from Mike Linenberg of Bank of America Merrill Lynch.
Alex Louanzen [Ph] - Bank of America Merrill Lynch: Hey, everyone this is actually Alex Louanzen [Ph] on behalf of Mike. I just had a quick question regarding your credit facility. I guess it had expired at the end of the March quarter, the $25 million. Was that renewed, can we get any update on that please?
Bradford Rich : Yes, it has been renewed.
Alex Louanzen [Ph] - Bank of America Merrill Lynch: Okay, and then the ASM production, it looks like it was up a little bit from your prior expectations. Can you just kind of go through, the reasons for the increase there?
Bradford Rich : Okay, now are you talking about the first quarter’s actual results or the ASM estimates that I just gave you?
Alex Louanzen [Ph] - Bank of America Merrill Lynch: The ones that you just gave for the remainder of the year
Bradford Rich : Yes, so I think it’s really three issues. Generally we’re seeing a slight improvement in the schedules relative to the minimum. So, in the prior estimates we gave, seeing that in most cases, particularly in the Delta system, we were really being taken right to the minimums required in the contract, that’s pretty much what we had estimated and we have seen some slight improvements in that. To add to that, now that we’re seeing, we now have a better look at the schedules for the ten additional ASA 900s that are coming in the system; as well as the additional seven CRJ-200s that we have scheduled into the prorate operation that I just referenced. So, when you combine those three issues, that’s what’s driving the slight improvement in the ASM estimates.
Alex Louanzen [Ph] - Bank of America Merrill Lynch: Okay great, thanks very much.
Bradford Rich : You’re welcome.
Operator: Our next question on comes from Duane Pfenningwerth of Raymond James.
Duane Pfenningwerth - Raymond James: Hi, thanks. Good morning. Just regarding your costs, I guess controllable costs in the first quarter, I don’t know if you broke it out explicitly, but on costs that you can control, what’s the magnitude of that and given that potential margin improvement, how long before you actually take some steps? How long could it take for you to actually get the business to the right size, more inline with the level of business that you’re seeing today?
Bradford Rich: Okay, a very good question. Obviously, if you just looked at our non-fuel CASM, I think the numbers were up about 4.1% ex fuel. It’s up from what, $9.07 to $10.01, that’s a 4.1% increase. When you put that in context with the 8.2% year-over-year reduction in block hours produced and I think the number actually is 8% reduction in ASMs. We’ve had to do some management off the controllable costs already, to keep the non-fuel CASM increase below the reduction and capacity, but admittedly there are still some controllable costs relative to both infrastructure overhead and some of the costs with our labor, which everybody kind of assumes that, particularly crew costs to use as an example are variable, but yet once you have crew members and the way that the industry pays crews, we have crews and pay crews really regardless of the exact level of flying. So, all I can tell you is that we all recognize and are very focused that we have to bring back into balance, both our infrastructure costs and our overhead, as well as our overall labor, both in direct labor as well as our overhead labor to appropriately size it to our projections of ongoing capacity. Okay, now your question is I think what are we doing specifically and when will we see the results? So, the things that we can do specifically; I think you saw and announced furlough of ASA pilots that was announced maybe a quarter ago and that’s happened and should help us be more inline with our crews at ASA specifically. Add to that the ten additional aero planes that are coming to ASA and that should get us more appropriately sized and so we should see the impact of that very soon and starting in second the second quarter. On the SkyWest Airlines side, I mean certainly that operation has not been immune to the capacity reductions, the schedule reductions. We’re not doing things as aggressively as furlough and that sort of thing. Under Chip’s direction, they have implemented some very specific things relative to voluntarily leaves, those sorts of things to try to get that part of the workforce more inline. Then all I can say is that we are very focused and I know that’s a kind of a warm and fuzzy abstract kind of statement, but we are very focused on the cost structure and evaluating everything we can evaluate to make sure that we are taking the appropriate and necessary steps to reduce costs appropriately, given the size of the operation today. Now, admittedly as we’re doing some of that, some of that will take till late second quarter, third quarter to see some of the results, but hopefully a combination of that with some of the increases that we just talked about to the ASM production, at least from where we’ve been in the last two quarters, should help all of that come back inline.
Duane Pfenningwerth - Raymond James: That’s helpful; and one follow-up, just regarding the rate adjustment in the first quarter, I guess what’s behind that rate adjustment? Is that essentially you comping yourself off of the entire grouping, including both Northwest and Delta carriers or can you give us any detail behind how you got to the magnitude of the $5 million adjustment? Thanks.
Mike Kraupp: Well, it is basically what you just said. I mean, so the provision calls for us to match the weighted average of the portfolio and that number is taking us pretty close to the weighted average of the whole portfolio, including the Northwest carriers.
Duane Pfenningwerth - Raymond James: Okay, so what’s left to negotiate?
Mike Kraupp: Well, as in all of these things, the actual calculations and how you get an accurate and fair representation of the other carriers’ costs. How you allocate costs? When you throw in a batch of owned carriers, what’s flowing through their cost structure and what’s not? Okay, it’s getting handle on all of that, before you actually settle and agree on a new rate. It’s a process of gaining access to enough information for us to do diligence on it, to substantiate the data.
Duane Pfenningwerth - Raymond James: Very helpful, thanks.
Mike Kraupp: You’re welcome.
Operator: (Operator Instructions) Our next question comes from Bob McAdoo at Avondale Partners.
Bob McAdoo - Avondale Partners: Hi, guys.
Bradford Rich: Hi, Bob.
Bob McAdoo - Avondale Partners: On the prorate flying, what’s the effective start date and are all seven airplanes up and running or when did you start it or when will it start?
Bradford Rich: Okay, I’ll let Chip talk about that.
Chip Childs: All of these aircraft went to service on, I believe it’s June 4 and they’re all ready to go. We’re obviously utilizing them as some spares right now, but June 4 is the date and the markets which we’ve analyzed are ones that we have in some respects been flying under contract with United. So, we have some pretty good data and we’d say that we are relatively optimistic about what that’s going to perform.
Bob McAdoo - Avondale Partners: Could you give us any color on just a couple of examples of what a couple of these markets might be?
Mike Kraupp: I think that we can probably get that to you more in detail a little bit later. There’s a fair amount that’s primarily out of the Chicago region. There are specific markets we can give for you at a later time.
Bob McAdoo - Avondale Partners: Okay, but they’re Chicago based markets and you say they include some or they’ve actually cutback some of their own contract flying and basically substitute this one. Is that conceptually what’s going on there?
Mike Kraupp: I don’t know that they necessarily cutback their entire portfolio. I think it’s helped adjusting this and initially in June it helps adjust some of the summer flying among carriers. So many other carriers may have some timing events with maintenance; they have to put airplanes down. So, these airplanes are going back into some of the contract markets that we have and then some of our other contract aero planes are going to back fill some of the other carriers. Some is temporary, some is permanent. To be honest with you, we really don’t get into a lot of that with United. We’re happy to have the work and continue to deliver a great product for them.
Bob McAdoo - Avondale Partners: Is this something they’ve asked you to do for 90 days or…?
Chip Childs: No, this is indefinitely, just like the rest of our pro-rate flying. We continue to evaluate the markets, as long as it works from a cost.
Bob McAdoo - Avondale Partners: As long as you’re happy with it, you’re welcome to do it kind of thing?
Chip Childs: As long as both us of are happy with results, there’s no time limit on it.
Bob McAdoo - Avondale Partners: I assume, since its pro-rate flying, in these markets you’re going to be their only presence. It’s not like you’re going to be flying pro-rate against their contract right?
Chip Childs: Correct, that’s why these were selected so there wasn’t any conflict in any of those situations.
Bob McAdoo - Avondale Partners: Okay. I know you guys have had a dose of pro-rate flying that you’ve had over the last several years, but that’s all Embraer stuff, right; you’ve never had CRJ contract flying before; is that correct?
Chip Childs: Well, we can’t say never. I mean long time ago, back and then…
Bob McAdoo - Avondale Partners: I mean when the planes were first coming out, yes.
Chip Childs: Yes, we did then with RJ and then back all of our RJ operations a long time ago started under pro-rate. So, we’re going back to those days with the RJ. We’ve got the models in place where we feel pretty confident about how it’s going to work, but yes, this is a new fleet type to put under pro-rate.
Bob McAdoo - Avondale Partners: Okay, and let me make sure I understood you. On these new pro-rate markets that you’re going into, did you say you had impacted times, had flown some of these before?
Chip Childs: Correct. Under contract, correct. One of the reasons we’re really quite optimistic about this is that we’re not taking these airplanes. Number one; we’re not doing it as independent flying which none of us would think was a good idea and number two, this is not just brand new start up and kind of testing out of new markets. The operation isn’t just a complete startup of brand new markets? There is some market developments in the mix, but it’s also got some already proven developed markets.
Bob McAdoo - Avondale Partners: Okay, are these in the schedule already, for sale for June?
Bradford Rich: Yes, they are.
Bob McAdoo - Avondale Partners: Okay, so if we were to go out and look at the schedule for June and try to back into markets that you’re flying in Chicago and then go back and look at history at some of the those markets, then maybe we could try to get a sense of what some of those were?
Chip Childs: No, because a lot of these we’ve been flying for a while. We’re just switching the model out and then some of our aero planes are going into some other contract markets. So, we’ll get you the list of new pro-rate markets that we’re going to be flying, because you wouldn’t be able to go out and dig that out.
Bob McAdoo - Avondale Partners: You can’t back into it that way. Alright, whatever help you can get that would be great.
Chip Childs: Okay, excellent.
Bob McAdoo - Avondale Partners: Okay. Thanks.
Operator: Our next question comes from Helaine Becker [Ph] at (Inaudible).
Unidentified Participant: Thank you very much operator. Thank you for taking my questions.
Bradford Rich: You’re welcome, Helaine.
Unidentified Participant: So, I just have one that is very mundane. The tax rate of 28.8% versus 34.8%, so going forward for the rest of the year, how should we be thinking about that?
Bradford Rich: Yes, it will be back to more of a normal run rate. This time we had a little bit of the releases to some FIN48 tax reserves that drove it artificially low. It will be back to more of a normal expected run rate.
Unidentified Participant: Okay and then I know you talked about in your first comments, but I think you said you commented about the change in cost driven by the pass-through items. So if we are to look at your revenue and say well the change in revenue is just under $200 million, can you say what percent of that is pass-through or is that all pass-through?
Bradford Rich: Okay, so I mean the total reduction, well 164.5 of it was all just the changes in pass through costs and of that, 147 is fuel. I mean the remainder of it generally is due to the 8.2% reduction in block hours.
Unidentified Participant: Okay. I was just trying to get to the breakdown on that. Okay good.
Bradford Rich: It is kind of sobering. I mean it really drives homes even in our financials, the significance of that run-up in fuel.
Unidentified Participant: Right, right. No absolutely and then so on the pro-rate flying, I don’t want to beat a dead horse here, but I do want to understand what we should think about. So, are you responsible on that for fuel then? Will you be responsible for those costs?
Bradford Rich: Let me give just very quickly a little bit more perspective about our pro-rate operation. I mean our prorate operation in the first quarter of last year lost about $6 million in pretax. Our total prorate system this time was basically within $1 million of breaking even, so about $1 million pretax loss and of that, then that total loss was within two markets. Now those two markets are markets that we have chosen to continue flying at least for now, because it involves flow of aero planes and things back to maintenance and those sorts of things. So if you look at it, it comes from basically $6 million pretax loss to basically breakeven with the exception of something we have consciously done for flow purposes. Our prorate system is improving. Now we have an opportunity to put some idle 200s into some markets where we do think it’s kind of a unique situation. We’re pretty optimistic about this. At the same time, we will continue to evaluate alternatives for 200s; whether it’s subleasing airplanes, selling airplanes, all of those things at the same time and look at those other alternatives that are created, relative to the productivity of the pro-rate flying. So, I mean that’s kind of how we’re looking at this.
Unidentified Participant: Okay. I mean I personally like the pro-rate model as you know better than the other model; that I understand obviously the fixed contract model and while it makes some sense, it’s just not my personal preference if that matters.
Bradford Rich: I appreciate your optimism about prorate flying.
Unidentified Participant: Yes, I would rather have you in control of your inventory, because you’re in control of the asset versus having somebody else in control of your inventory and telling you what your margin should be, but I understand why the model works the way it does. Anyway, so with that, thank you very much, you answered all of my questions and I really appreciate the time.
Operator: At this time we show no further questions. I would like to turn the conference back over to management for any closing remarks.
Bradford Rich: Okay, given that there are no more questions, I want to just conclude with an expression of thanks and appreciation for your time and your interest in SkyWest. As always, we’d be remiss if we didn’t take an opportunity. We know that the purpose of the call is basically to have a discussion with the investment and financial community. We also recognize that our employees are paying very close attention to these types of things and these are difficult and challenging times, we all acknowledge; and without the group of people that we have on the frontlines and working at this everyday, which is our employee group, we couldn’t be doing what we’re doing and we think we’re doing it better than anybody in the industry and we’re grateful and appreciative to all of our employees. With that, again, we thank you for your time and interest and we’ll go ahead and conclude. Thank you.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.